Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to today’s Sherritt International Corporation Third Quarter 2017 Results Release Conference Call and Webcast. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session, and instructions will be given at that time. [Operator Instructions] I would like to remind everyone that this conference call is being recorded today, Wednesday, October 25, 2017 at 9 a.m. Eastern. I would now like to turn the conference over to Mr. Joe Racanelli, Director of Investor Relations and Communications. Please go ahead, sir.
Joe Racanelli: Thank you, Operator, and good morning, everyone. Before we begin, I would like to remind everyone, that we will be following the presentation, a copy of it can be found on our website sherritt.com. We will also be making forward-looking statements and the risks associated those are found in the second page of our presentation. With me is David Pathe, CEO of the Company; Andrew Snowden, CFO; at our Fort Site in Alberta is our Chief Operating Officer, Steve Wood. David, please go ahead.
David Pathe: All right. Thank you, Joe, and good morning, everyone. Thanks once again for joining us. As Joe mentioned, Andrew and I are here in Toronto, and we have Steve on the line from the Fort, and so once again we will each make a few comments and give you some insight into what’s happening in the quarter, and then we will do our best to answer a few questions. From our perspective, a busy quarter, I’ve got quite a bit going on these days, as a quarter where we feel like we are making some progress. Number of highlights, just to start from me and I will talk a little bit about nickel markets before turning over to Steve and Andrew, and then come back and talk a little bit about what we’re looking forward to do here between now and end of the year. So, for the quarter, couple significant developments, certainly, we pleased to see an increase on our cash position, up by $10 million, $50 million over where we were at the end of Q2, driven by decent receipts on our Cuban receivables, and as well as once again seeing some cash coming out of our Moa joint venture with the move up in commodity prices. There is some cash flow available to us and we are seeing Moa JV pay down some capital -- on the working capital facility that we have at the Moa level. Another highlight for us was certainly net direct cash cost at Moa. We put up a $1.94 for the -- pound for the quarter. That’s the best NDCC number we have seen out of that Moa operations since 2004, putting that up we are certainly benefiting from the stronger cobalt markets that we are seeing in a higher cobalt byproduct credit. But that $1.94 number is better than anything we saw through 2006, 2007, 2008, when we had the benefit of $50 a pound, $55 a pound cobalt compared to $28 a pound to $29 a pound we are seeing today. So we are also seeing in that number the benefit of some of the work that’s been done over the last two years on mine planning and maintenance planning, as well as the benefit of new acid plant that is now up and running well, and that alone delivering about $0.50 a pound in savings for us compared to how we are used to operate. Commodity prices are certainly more encouraging story for us now than it’s been in a while as well. I will talk in a bit more detail about nickel and cobalt in a moment, but those are both up year-over-year. Gulf Coast Fuel Oil No. 6, which is the reference price we used for our oil businesses also up about 30% quarter over -- year-over-year for the third quarter. And the trends we are seeing now and the sentiment around nickel seems to be improving off of the back of greater expectations in nickel demand for batteries and batteries for electric vehicles, and I will talk a little bit more about that in terms of impact that has on the nickel market and its ability to supply that demand. Another highlight for us in the quarter was the response to hurricane Irma. Those of who follow us will have seen the impact that Irma had on a great swath of Cuba as it tracked along the North Coast of much of the island. All of our operations in Cuba were affected in some way across the nickel, oil and power businesses. But I owe a great thanks to our partners and all our employees in Cuba for the tremendous efforts that they put in before and after the storm came through both to prepare and to recover quickly from it. The impact across all of our businesses as a result of those preparations and those efforts was minimal. We suffered minimal damage at all of our sites. We are up and running quickly after the hurricane at all of our sites with minimal impacts on production across all of our business lines. And most importantly, we suffered no injuries to any of our personnel, our partners down there as a result of the hurricane. So a tremendous effort on the part of many people down there for which we are very pleased and very grateful. I will come back at the end a bit as we look towards the end of the year and talk about where we are on drilling in Block 10, as well as our Ambatovy restructuring, and then the progress we are making on that towards the closing at year end. Before we get to that though I am going to talk a little bit about the market environments and what we are seeing in the nickel and cobalt markets. That takes me up to slide six in our presentation. Strong quarter for nickel prices and you can see the trend in that graph on chart six of the nickel prices over the last two years or three years. We still have the long way to go to get back to levels of the nickel price that we saw even two year, three years, four years ago after significant declines in 2015. We had a few kind of fall starts but a more positive trend in 2016 and we have seen more conviction in the nickel price really over the course of the third quarter. We started the third quarter about $4.25 a pound in over the course of the quarter and into October we’ve seen it appreciate nickel today stands at $5.35 a pound, $5.40 a pound somewhere in there. Number of factors driving that nickel price, batteries and expectation of battery demand is certainly a factor. We are also seeing stronger demand for stainless steel, particularly out of China and that is helping the nickel market generally. Trend in cobalt prices that kind of began in the kind of middle of last year and really picked up steam in the first half of this year has discontinued in Q3. You look at the chart on the right-hand side of page six, you can see we started at not much more than $10 in the middle of last year, up to $28 a pound, $29 a pound cobalt price that we are seeing today, driven and very much invite by demand for electric vehicles and future anticipation of the direction electric vehicle, and at this point, we expect to see that that trend continue as cobalt’s a pretty tight in small market. Over the page on to slide seven, a bit of look at that what we’re looking to in terms of nickel supply and demand balance in the years ahead. Those of you that followed us have known that the nickel market has suffered severely in the last two years as a result of a number of surpluses through 2012, 2013, 2014, 2015 that led to a build-up in inventories and a significant decline in the nickel price. The small deficit that we -- that emerged from a supply and demand perspective in 2016 has carried over into 2017 and forecasts are for that now to continue for the balance of the decade. A number of factors driving that are, one, the complete lack of investment in new nickel facilities really since the financial crisis, because they -- the market environment simply hasn’t supported it, really constricting the ability of supply to react anytime soon, on top of that driven by increases in expected demand again driven primarily by future anticipated demand for batteries and electric vehicles. The story gets more compelling as you delve into the detailed and the composition of the nickel supply and realized that about half of the world’s current nickel supply is in the form of ferronickel and nickel pig iron, which is not suitable for battery production. For battery production you need class I nickel. That’s only about half of the nickel market and that supply of class I nickel over the next few years is forecast to be flat to declining right at the time that the demand is actually expected to be most robust in that particular area. If you delve even further into the detail of the class I market, the majority of that class I market is actually cathode pure class I nickel, which is less amenable to the battery process than the powders and briquettes that we produce, because it is much slower to dissolve in acid as the battery makers do as they make the alloys for their cathodes. So the most amenable type of nickel for battery production is less than a quarter of the aggregate nickel supply and that is where we see the most robust growth in nickel demand for the next few years and that is the form of nickel that our operations have both produced. So we do have more optimism in terms of the fundamentals of the nickel market as look ahead into for the balance of the decade here. Stockpiled the nickel continued to decline consistent with that small deficit we are now seeing in ‘16 and ‘17. Global nickel inventories are down year-to-date by about 30,000 tonnes. We expect to see that trend continue in the next year or two as well. Just looking briefly at the cost curve, you can see that on page nine, the year-to-date 2017 cost curve has put together by Wood Mackenzie. You can see both of our nickel operations on there. Moa continues to perform at that bottom quartile of low cost producers, are positioning very well and that’s why we’re now able to start see some positive cash flow available to us out of the Moa joint venture for the first time in some years. Ambatovy despite its production problems remains reasonably competitive. It certain benefiting from the help of the cobalt price and helping offset some of the increase in cost. We are seeing some of the production issues and Steve will speak a bit more about those as he comes on the line here. You can see the year-to-date price, it’s perhaps a bit faint in that yellow line that goes across, it showing the year-to-date reference price, still shows, frankly, that almost a quarter of the world’s nickel supply is underwater just on the cash margin basis, never mind their sustaining capital or financing costs or other corporate overheads and even everything from more less that 50% line out, still doesn’t have much in the way of positive margin and certainly wouldn’t have much in the way of cash flow after they expense some capital. So, electric vehicle story aside, we still think there is some room and some need to the nickel price to move really just to make the bulk of current supply sustainable and get at current prices. That’s what I really want to highlight for you off the top here. I’m now going to ask Steve to touch on a few operational things and he will highlight a few things from the financial perspective and then I’ll come back and talk a little bit about what we see from here towards the end of year before we take your questions. Steve, can I ask you to step in here?
Steve Wood: Yeah. Thank you, Dave, and good morning, everybody. As I normally do, I will comment briefly on our health and safety performance in the quarter. And as Dave said, during the quarter we had to deal with hurricane Irma. It struck Cuba during the quarter and thankfully due to excellent preparation there was minimal impact on both the employees and the operation itself. Over in Madagascar there’s been an outbreak of plague and the Ambatovy employees have been unaffected and we continue to monitor and work with officials to deal with that as well. Turning over to the Moa results. On 100% basis Moa produced 9,110 tonnes of mixed sulphides in the quarter, up 1% from last year. That mixed sulphides production contributed to 8,098 tonnes of finished nickel, which is down 6% from last year. We also produce 928 tonnes of finished cobalt, which is down 5% from last year. The production declines for finished nickel and finished cobalt was due to shipment delays we experience because of hurricane Irma. In other words, while mixed sulphides produced at Moa were higher than last year. The onset of hurricane Irma and its aftereffects resulted in shipment delays due to the port. The effects of hurricane Irma are now behind us and we expect to catch up on production as shipment scheduled back to normal. Turning now to operating costs, our NDCC at Moa was a $1.94 per pound. This was our lowest NDCC, as Dave said, since the fourth quarter 2004. While cobalt prices produced a byproduct credit of $3.10 per pound, we also benefited from the investment we made in the construction of the third acid plant, and as Dave mentioned, we experienced cost savings of $0.50 a pound as a results of that acid plant. Now I am going to turn over to Ambatovy. At Ambatovy our finished nickel production on 100% basis was 8,118 tonnes, which is down 12% from last year. The finished cobalt production was up 24% to 838 tonnes largely because of higher grade in the quarter. In fact, we expect higher cobalt grades continue for the balance of the year. While we have discussed some of the asset reliability issues at Ambatovy in the past, I want to put some of the quarter’s performance into context. We had two plant shutdowns in the quarter, which not only impacted production, but also allowed us to complete some important maintenance that will support a more reliable fourth quarter and operations going forward. Our improving assets reliability of the key objective for us at Ambatovy and we’re continuing our work to methodically replace less reliable equipment, improve maintenance and operating processes, while taking advantage of the lessons we have learned so far. More specifically, building on the work done to-date, these efforts include they are putting into place correct and customized acid care plans for the whole facility. We are using third-party experts to support that work. We are implementing a number of projects to address known production issues such as the corrosion and we are optimizing plant process controls and operating practices to establish a more stable plant operation. This initiative has already been successful in addressing the poor power supply reliability of past years and we expect to be able to continue to make that kind of impact. It’s important to understand that there is no quick fix. We are on the journey here. We are partway through that journey and our program over the next 18 months or so we’ll see significant improved reliability. Even with some of the reliability issues we have experienced Ambatovy NDCC for the quarter was at the middle of the cost curve as Dave pointed out earlier. We believe the potential for Ambatovy to lower this NDCC further is considerable and that Ambatovy remains a good asset for the long-term. Now I’ll turn over to the oil and gas business. In oil and gas we produced 7,658 barrels on a -- barrels per day on a net working interest basis. This total was down 12% from last year. The decrease was principally due to the normal reservoir declines we had expected that and had -- given heads up on that in the past. Our oil and gas production in Cuba was also impacted due to Hurricane Irma. The folks down there along with the authorities there were very effective in preparing for the storm and we implement safety and shutdown procedures that minimize any impact. Irma has contributed to modest delays in drilling activities on Block 10 as well. Our unit operating costs in Cuba for the quarter were $8.98 per barrel, down 4% from last year. The decrease was principally due to lower labor, treatment and transportation costs. The oil and gas division benefited from higher oil prices in the quarter, with realized prices jumping 28% from last year to $42.10 per barrel. The steady performance of the oil and gas division was reflected in stronger adjusted EBITDA as well. Now turning over to the power division. We had some steady performance in the quarter. We produced 210 gigawatt hours of electricity, which is down 7% from last year. This decline was largely due to reduced gas supply and modest impact of Hurricane Irma again. Unit operating cost reduced in the quarter to $16.59 per megawatt. The improvement was driven by lower maintenance costs at our facilities at Boca and Escondido. With that, I’ll conclude my remarks and I’ll now turn it over to Andrew, who will discuss our financial results in greater detail.
Andrew Snowden: Thank you, Steve, and good morning, everyone. In the next few slides, I have a few highlights from our Q3 results and we will also provide a short update on our Cuban receivable and then foreign movements. What we highlighted, as Dave already referred to in the third quarter has been our increasing cash position, as you can see on slide 15 where the waterfall there shows the movement in our cash balance from $275 million at June to around $290 million in September. That increase in cash was driven by two key factor, one, was prepayments on our fertilizer business, which really drove the positive free cash flow you see there coming out of the Fort Site. As you will know, our fertilizer business is very cyclical and although, it’s -- and -- although it is weather dependent, generally speaking we will recognize our revenue on the fertilizer business in May and October, but most of the cash sale is received from fertilizer sales in the third quarter and fourth quarter, and so the cash increase you see in the Fort Site is in relation with timing of those receipts. Secondly, as Dave, also referred to, we received around US$33 million on -- from the Cuban on our oil, gas and power businesses, and that drive a positive cash flow you will see on the waterfall in oil, gas and power. The one of the point to highlight, you will see a $3 million receipt from Moa and again that just reflection of the low cost profile that Moa continues to demonstrate and despite the continued low nickel price environment we are able to get to position where Moa has available cash flow to pay down amounts which are owed to Sherritt. These increases were partly offset by $10 million interest expense on our expansion and as you recall we have a $10 million interest expense in the first quarter and third quarter, and that’s $20 million in second quarter and fourth quarter. The final item to know from this slide is the $9 million of capital expenditure which we have incurred and that primarily relates to our oil and gas business and the drilling activities that we are in the process of undertaking on Block 10. Earlier Steve did review our NDCC the high level cost on metals business and slide 16 provides a bit more detail on the breakdown of our unit costs of both of those operations. On the left there, you will see the cost profile of Moa, when you look at the profile in the third quarter of 2017 is actually very consistent with cost profile, I would have walk through in the second quarter and fourth quarter. When that compared to the third quarter of last year, the key change you will see is a reduction in sulphuric acid cost which are the red part bottom of that chart and that’s reflecting the benefit from the third acid plant where we continue to benefit from around $0.50 a pound saving as a result of eliminating sulphuric acid purchases. In addition, the bottom of the slide there in the Moa section, you will see the contribution of the cobalt by-product credits in the third quarter, which is $3.10 a pound in Q3, a significant increase on the credit we saw from the third quarter 2016. All that credit is relatively consistent with what we reported in the second quarter, where it was about $2.92 a pound. Good savings from the acid plant on the cobalt by-product credit combined the contributor to a solid NDCC performance at Moa at $1.94 a pound, which as Dave and Steve have already committed is the lowest NDCC Moa since 2004, which is a great accomplishment. Our Ambatovy, although, we experienced reduced product level compared to the prior year, our NDCC has fallen from $4.67 a pound in Q3 of last year to $4.27 a pound in the third quarter of this year, although, the NDCC is up from what we reported at Q2. In terms of the cost profile, the one point I will highlight, you will see there have been increase in other variable costs from Q3 2016 to the current quarter and that’s primarily driven by changes in our inventory balance because of the production challenge as we had in the third quarter. We drew down inventory levels and we flow that through the other variable costs section of our NDCC. Turning now to slide 17, this slide provides an overview of our overdue receivables from the Cuban government and that cover both the oil and gas and power businesses. As I highlighted earlier, we received around US$33 million in the third quarter, which helps strengthen our cash position. As you can see this payment did not reduced our receivable and our -- overdue receivable balance is up about $10 million on June from $90 million overdue to about $100 overdue at the end of September. Reducing this amount is a key focus for us, I do want to highlight by experiencing its amount of volatility and receivable is not unusual and a key point to highlight is we have always been able to collect the amount that we rose from the Cuban government in the 25 plus year that we have been operating in Cuba. My final slide is slide 18. I just wanted to provide an overview of our foreign exchange movement, particularly trying to demystify the unrealized foreign exchange gain and loss of deal you will see reported in our financing expense numbers every quarter. In the past this foreign exchange has been partly driven by inter-company balance, which creates a bit of confusion on the foreign exchange number that we show. Those inter-company balances have been reducing and then going forward our foreign exchange will be lot easier to predict. What I will try to highlight in this slide is really the three main balances which contributes to the foreign exchange movement you will see in our income statement. So the Ambatovy partner loans which September about US$1.2 billion. The Ambatovy receivable which are about US$600 million and the Moa expansion loan receivable which is around US$200 million. And the net of those three balances is about US$330 million liability. Given our exposure to those three balances is in a liability position, the strengthening of the Canadian dollar during the quarter resulted in a gain which should be recognize in our foreign exchange line item in the income statement. If you do want to assess our estimate what our foreign exchange will be going forward using this methodology will be a good way to that in the future. That concludes my review of our financial in Q3 and I will turn the call back over to David for his closing remarks.
David Pathe: All right. Thanks, Andrew. Just quickly for me to finish up before we take your question then. We did a few updates to guidance that I’ll just highlight. You have seen we did reduce our nickel and cobalt production guidance at Ambatovy which really just reflects production year-to-date and then Steve has talked about that. You’ll see upwards revisions in our gross and net working interest production and oil production in Cuba. That is as a result of better performance out of the wells against the expected decline rates this year, both just from well performance and from success in our work over programs to maximize production now those -- those now relatively mature wells. Net direct cash cost at Moa, we are revising down as a result of performance year-to-date and certainly the benefit of higher cobalt prices compared to when the estimates were put out at the beginning of the year and our unit costs per barrel of oil in Cuba have come down a little bit as well and that’s really just a function of being able to spread the fixed cost of that business across a higher number of units of production then we are anticipating. Our capital, we are revising down little bit as well. That’s primarily as a result of more pace of spending in the oil business and some seismic and some equipment purchases that were contemplated by the end of this year are now probably more on the agenda for 2018 and beyond. That’s where we are in guidance. Looking forward to between now and the end of year, we do expect to have coupled new events; one is in Block 10 and drilling. We have followed that over the course of this year’s since we have drilling on Block 10, we are now well underway in drilling the second hole and I think use the first 33 meter or so of the first hole and now working our way through those same zones so we are losing circulation in the first hole. We did lose a couple weeks of drilling time as a result preparations and recovery from Hurricane Irma, but we’re still anticipating drilling results of this second drill hole campaign in Block 10 by late November or early December and we will be back to report you on that. Additionally, I just want to touch the Ambatovy restructuring is ongoing as we’ve talked about the last couple quarters as well. The process of approvals for our partners and for our -- for the lending syndicates of 17 banks and the project financing continues to unfold and that is still we expect to be in a position there to announce the closing of that transaction and reflect the balance sheet benefits of that transaction in time for our year-end financial statements and that we will be back ideally before the end of the year with news on that as well. That is what we wanted to highlight for you today. And so, with that, Operator, if you’re there listening, we would be glad to take some questions.
Operator: Thank you. [Operator Instructions]
David Pathe: Operator?
Operator: Can you hear me? Hello. Can you hear me?
David Pathe: Hi. Bear with us a moment here while we track down the operator.
Operator: Can you hear me now? Can you hear me now?
David Pathe: Operator?
Operator: Hello. Can you hear me? Hello.
David Pathe: Apologies. We do have a couple individuals have queued up for question and as soon as the Operator comes on we will start with the Q&A.
Operator: Hello. Can you hear me now? [Operator Instructions]
David Pathe: Please be patience we are fixing this technical issue.
Operator: We can now take our first question from Greg Barnes. Please go ahead.
David Pathe: Yeah.
Greg Barnes: Yes. Thank you. I will limit myself to three questions as I was instructed. But, first off, the higher cobalt credits of Ambatovy, you said to the end of 2017.
David Pathe: Operator, we cannot hear you?
Greg Barnes: Can anybody hear anybody? Hello?
Operator: Hello? Can the speakers hear you?
Unidentified Participant: Okay. But I can’t hear her.
Operator: Can you hear the operator?
Greg Barnes: I can hear the operator.
Operator: You can hear the operator, but the speakers can’t. Okay. Just a moment.
David Pathe: Currently the operator can be heard.
Operator: Hello?
Greg Barnes: Who can hear who?
Operator: Hello. The participants can hear me, can you hear me? Hello, can you hear me? Hello?
Greg Barnes: Barnes, I can hear you.
Operator: Right. You can -- yes, you can hear, but the speakers don’t seem to be able to hear all for some reason.
Greg Barnes: No.
Unidentified Participant: Hello. Hi there.
Operator: Can you hear us?
Steve Wood: I can hear you.
David Pathe: Okay. Great. Go ahead, we can hear you now.
Unidentified Participant: Yes.
Greg Barnes: Okay. Can everybody hear everybody?
Unidentified Participant: Greg, are you at the on the line.
Greg Barnes: I am on the line.
Operator: Yes. Greg is on the line and he can hear me and I can hear. Greg, can the speak hear me?
David Pathe: Okay. Greg, would you mind repeating the question please?
Greg Barnes: Can you hear me? I am speaking. Operator, they cannot hear me.
Operator: Yes. They must be muted at their side. Just bear with me now.
David Pathe: On the line.
Unidentified Participant: Greg is on the line and he can hear me and I can hear Greg [inaudible] (34:41).
Joe Racanelli: Yes. We can hear, Greg. Please, Greg, repeat your question.
Greg Barnes: Joe, you can hear me now? Joe?
Joe Racanelli: Greg, we can hear you.
Greg Barnes: Okay. So, I will go ahead with my question. Yeah. The cobalt grade...
David Pathe: Hey, Greg. I don’t know if you can hear us or not. We are -- it’s not coming through on our line, but we are trying to listen it on the webcast and it appears that there’s a bit of a lag here. So while you go ahead and ask your question, we will be able to listen in on the webcast and then I’ll come back on this line and try to answer your question.
Greg Barnes: … grades at Ambatovy on the cobalt side, can continue at the high level beyond the end of 2017?
David Pathe: Go ahead, Greg.
Greg Barnes: I’ll try again. Our grades…
Steve Wood: Go ahead with the question. Yeah. The cobalt grade -- I don’t know if you can hear us or not, we are -- it’s not coming through on our line, but we are trying to listen it on the webcast and it appears a bit of a lag here. So while you go ahead and ask your question, we will be able to listen in on the webcast and I will come back on this line and try to answer your question. Our grades at Ambatovy on the cobalt side, we are going to continue at the high level beyond the end of 2017.
David Pathe: Go ahead, Greg.
Steve Wood: I will try again. Our grades…
Greg Barnes: The lag is too long.
David Pathe: It’s, Dave, again, I’m not sure how well this is coming through…
Operator: Hello. Can you hear us?
David Pathe: Good we have there.
Steve Wood: That’s the operator.
Operator: Hello. Can you hear us?
David Pathe: We can. Can you hear us now?
Operator: I can hear you now. Greg, can you hear the speakers.
Greg Barnes: I can.
Operator: Okay. So go ahead.
Greg Barnes: Do you want me to ask that question…
David Pathe: Hi, Greg.
Greg Barnes: Do you want me to ask the question again?
Steve Wood: Hi, Greg.
David Pathe: We are back in real-time, what is right now we will…
Greg Barnes: Oh! There we go. Okay. Our grades at Ambatovy, you are going to extend to the high level on cobalt beyond the end of 2017?
David Pathe: I will ask, Steve, if he has more information on that. I expect they will at least end of 2018 somewhat. Just to put Ambatovy in some perspective is to how we look at it from here at the moment is, notwithstanding, production challenges at Ambatovy since we achieve financial completion in October 2015 from a cash and liquidity and cash flow perspective Ambatovy has been no cash in and no cash out, and that’s what we expect to continue. We will close our deal before the end of the year ideally and that will have a cash implication from us as we catch up on a 12% funding and put cash up for the escrow. But beyond that for foreseeable future we would expect Ambatovy to be no cash in and no cash out beyond that date as well regardless of production levels or cobalt grades going forward for the next swath. But, Steve, you are still on the line I hope. Do you have any further insight into what we’re expecting in cobalt grades into 2018?
Steve Wood: Yes. I’m still on the line. And yes, we are expecting a higher cobalt grades to continue into 2018.
Greg Barnes: Thanks. I will try second question. Just on the overdue payments at Cuba, is $100 million, is that at the high end of what would normally be and what kind of timing do you think that could be on getting that takedown?
David Pathe: It’s higher than it’s been where we weren’t far this about a year ago. I mean, the highest it’s ever been is in the after the financial crisis in 2008. We do get up a size $220 million, $230 million and we are still openly made whole a lot on that. We -- it is obviously a regular topic of conversation for all of us as we travel back and forth to Cuba and our industries in terms of power and oil are strategically important to the Cubans and they have an appreciation of that and the importance of cash flow to us, particularly as we undertake the drilling activities in Block 10. We expect to see continued payments over the course of the rest of this year and into 2018. The pace of which always has a bit of an ebb and flow to the hurricane, about a short-term liquidity impact on the Cubans, as well as they deal the aftermath of that. But, yeah, we will be working with them quite closely to continue to see that and try and work that balance down over the course of 2018.
Greg Barnes: That’s it for me. Thank you.
David Pathe: Thanks, Greg.
Operator: [Operator Instructions] We will now take our next question from Don DeMarco from National Bank Financial. Please go ahead.
Don DeMarco: Oh! Hi, there. Thank you. With regard to the work at Ambatovy, that is like replacing less reliable equipment, I think, you mentioned some production issues related to corrosion and so on. How should we view the implications of that with respect to a production cost? I think you just mentioned that you do not expect any cash out at Ambatovy. But going forward maybe relative to the revised guidance that you issued now, what you would be expecting in the future?
David Pathe: The asset reliability has obviously been the big issue that has plagued Ambatovy over the last 12 months or 18 months and the production hits that we have taken over the course to try to deal with that have been unexpected and difficult to predict. So it is -- and anticipating those is still our challenge down there. We will provide guidance as best we can, but there is obviously more variability in that then there is in low operation for examples which is much more stable and predictable. The process, and Steve, talked a bit about this, we are going through to get greater asset reliability and get on top of doing more preventative maintenance and less reactive maintenance when things fail is the longer term challenge down there. And if you look at Andrew’s charts on the composition of the costs on both sides of our business, you can see the much greater proportion of cost at Ambatovy that are devoted to maintenance, notwithstanding, it is a newer operation at our Moa joint venture and that’s because we still spent too much time running around fixing stuff that is broken and not enough time on preventative maintenance. So getting our preventative maintenance regimes right for all the different circuits of equipment down there is the process that’s been underway for a while and will continue through the rest of this year and much of next year, frankly, and we do expect to see over time the result of that will be greater reliability in the asset and more predictable production as a result. Clearly, we will be expecting a higher level of production out of Ambatovy in 2018 and we are going to see in 2017, but even more important than that will be hoping to see progress on greater reliability and consistency in the performance of the asset as we get more on top of these preventative maintenance regimes and start to execute that rather than on executing on more emergency response type maintenance. And from a cost perspective, we have seen when Ambatovy has performed well and had good quarters. It has been able to mat to see that reflected in strong unit cost performance. There is a very high correlation between production and better operating costs on the unit basis, because of the high fixed cost component down there. If we can start getting our production numbers, we think the cost -- our performance can be very strong and even the cost numbers in Q3 given the level of production we had where it was still able to be positioned not far off the 50th% of the cost curve, I think, still illustrate the -- the potential of that asset from a cost perspective we can just get more consistent production. So that’s what we would be looking for over the course of 2017. Does that answer your questions, Don.
Don DeMarco: Yeah. Yeah. That’s good. Thanks. And then just moving, obviously, oil and gas, you previously mentioned, you are looking at another opportunity in Cuba that could be in development, perhaps, next year. Can you give an update on that?
David Pathe: Can you just say that again, Don, I miss that?
Don DeMarco: Yeah. Just referring to an oil and gas asset, you are looking at another opportunity in Cuba that could be in development by sometime next year and is there any update on that?
David Pathe: Yeah. We continue to talk to the Cuban’s about that. I am hoping we will see some progress on that, being able to have a contract for that before the end of the year as well, which could give us a more immediate path to some increases in production than Block 10 might offers as well because it is quite proximate to one of our existing production areas. But we don’t have any more definitive news on that today.
Don DeMarco: Okay. Thanks. That’s all for me.
Operator: We can now take our next question from Kevin Cohen from Imperial Capital. Please go ahead.
Kevin Cohen: Good morning and thanks for taking my questions. Congratulations on the much improved numbers. I guess, just a few topics wanted to touch on. First, in terms of the CapEx, you think there is a reduction overall and sort of normalized CapEx or is it really just solely due to timing in terms of the reduction in FY ‘17 CapEx slipping in the FY ‘18?
David Pathe: No. I think, in terms of overall normal levels of capital spending is not really that the biggest reductions that coming out of our 2017 budget was there was some money set aside for shooting seismic in Block 8A, which is another one of the blocks we signed up a PSC for a few years ago and we have differed that based on timing of receipts and interest of priority -- prioritizing what capital we are spending in Cuba right now on drilling rather than shooting seismic. And there are also some equipment purchases that may be necessary for development of Block 10 that, given where we are drilling compared to where we might have thought we would have been at the beginning of year and before we knew the results of the first drill hole and the time has taken to drill the second here, that would be further along in purchasing. So, depending on how the Block 10 results play out and we’ll see how much of that we are acquiring, but we won’t be spending much of that money in 2017.
Kevin Cohen: And then, I guess, in terms of the Ambatovy reduction in the JV stake 12% from 40%. I think the previous slide deck indicated about $70 million of expected cash outlays to resolve that. I was wondering, was any of that incurred in the third quarter and has that $70 million number changed or is it still $70 million roughly?
David Pathe: No. It will still be roughly that and none of it has been incurred yet and won’t be incurred until we get the closing. And the basic components of that in addition to some transaction costs that I assume will have us as it gets wrapped up, but our primarily funding for 12% of all the cash cost have been made to the partners since October 2015, when we ceased funding and the balance then being escrowed to fund our future share of 12% of any future cash cost that may be required by Ambatovy. On that basis is what we -- leads us to believe that once we put that money up that there won’t be any more cash required from Sherritt for the foreseeable future as Ambatovy works its way through it, its production issues and gets up to a more consistent level of production.
Kevin Cohen: And then turning lastly to be the Cuban overdue receivables, any sort of color and how that might that progress during the fourth quarter. I know you guys do call out that it’s a function of foreign currency availability, but just wondering what you’re seeing on the ground, so to speak there on that topic?
David Pathe: Yeah. I mean, we are -- I am in Cuba pretty regularly and I was down there a couple weeks ago and met with a number of ministers again and it is a regular topic of conversation for us. Certainly, they do point to the hurricane as a short-term liquidity challenge for them here as there is a damage to a lot of houses and infrastructure and particularly the areas that affect tourism, they are scrambling to get that up and running again and cleaned up and operational in order to salvage the other tourism season down there at some sites, which is a big source of hard currency in their annual cycle. And so we are conscious of that. They are also well aware of, although, of our current situation and our need to see cash flow out of the business in order to be able to invest in the oil business and other businesses down there. So trying to predict what we are going to see in any given month or any given quarter has always been a challenge, but money is a bit tighter there at the moment than may have been at the beginning of year or last year as a results of the hurricane and some other factors, but we will continue to work through that for them. We will see some receipts in the fourth quarter and we will see more in 2018 and it will continue to be an area of focus for us.
Kevin Cohen: And then just last, I know this is my fourth question, so I will ask only two on the next call to average it out. But in terms of the minimum cash that you would like to keep on hand, given all the moving parts. How do you guys kind of think about that topic at present?
David Pathe: It’s hard -- really Kevin to give you a hard number to say we would in no circumstances go below this, because a couple years ago we probably would have said that number was $250 million or $300 million, given where commodity prices have gone, we have gone below that. But as we get into more robust commodity prices here and potentially into a world where you can be more confident in what the commodity market is going forward. I think it also takes some pressure off of our need to maintain a strong liquidity position. And given we would potentially have less concern about future downside risk in the commodity prices as than we might have been concerned about a couple years ago. The liquidity has always been a greater challenge for us to manage because of our Cuban nature of our businesses means that we don’t have a lot of access to working capital credit facilities that some of our peers maybe able to draw on, so managing liquidity has been much more about managing cash for us then perhaps for other companies and it’s not so much that there is a line in the sand but it really does vary as outlook on commodity prices swings.
Kevin Cohen: Fair enough. Appreciate all the context and color on those questions and continued best of luck.
David Pathe: That’s very much Kevin.
Operator: That concludes today’s questions. I will hand back to the moderator for any additional or closing remarks.
David Pathe: All right. Well, thanks very much for joining us this morning and we will look forward to updating you on development on our business over the course of the rest of this year. Apologies once again for any of the technical difficulties we had here in making contact with some of the questioners, but I’m glad we got it sorted out and were able to take questions and thanks once again for joining us.
Operator: Thank you. That concludes today’s conference call. Thank you for your participation ladies and gentlemen. You may now disconnect.